Operator: Hello, and welcome to the Bouygues Q1 2025 Results Conference Call. Please note this conference is being recorded. [Operator Instructions] I will now hand you over to Frederique Delavaud Head of Investor Relations, to begin today's conference. Thank you.
Frederique Delavaud: Good morning, everyone, and thank you for joining us for the presentation of Bouygues First Quarter 2025 results. This presentation will be led by Pascal Grange, Deputy CEO and CFO of Bouygues Group. Pascal Grange is accompanied by Christian Lecoq, CFO of Bouygues Telecom. Following their presentation, they will be answering your questions. Pascal, I give you the floor.
Pascal Grange: Thank you, Frederique. Good morning, everyone. Before listing our highlights, I would like to point out that we had mentioned during the presentation of our 2024 results that the global macroeconomic and geopolitical environment was uncertain. The first quarter of 2025 has not proven us strong. Yet, I am pleased to say that we've had a good start of the year. Therefore, first, we confirm the group outlook for 2025. Second, group sales and COPA in Q1 2025 were both up year-on-year. Third, excluding the exceptional income tax surcharge for large companies in France of EUR 33 million, the net result attributable to the group was up year-on-year. I remind you that the effect on the net profit attributable to the group of the French finance law and the social security financing law for the full year 2025, including mainly the exceptional income tax surcharge for large companies in France has been estimated at around EUR 100 million. This is still our evolution to date and more than EUR 40 million have been already been recorded in the first quarter of 2025, having particularly strong distorting effects on the net result attributable to the group of the first quarter. Fourth, at end March 2025, our net debt was lower than at end March 2024 after acquisition of nearly EUR 1.2 billion made over the year. Last, I have 2 comments on our business segments. At Equans level, COPA increased by EUR 44 million at EUR 177 million, and COPA margin improved by 0.9 points, reaching 3.8%. This increase demonstrates successful execution of the strategic performed plan. And in our construction businesses, the backlog at end March reached a new record level at EUR 34.2 billion, up EUR 3.8 billion year-on-year and up EUR 2 billion since end December 2024. Let's now have a look at our key figures on Slide 5. First, let me remind you that like every year, mainly due to the seasonal nature of Colas activities and, to a lesser extent, those of Equans, Q1 results are not indicative of half year and full year results. This is particularly true this year for the net result attributable to the group given the tax effects mentioned previously. That said, group sales stood at EUR 12.6 billion, up 2.2% in the first quarter 2025 compared to the first quarter 2024. This increase was largely driven by Colas, Bouygues Construction and Bouygues Telecom, which recorded the sales contribution of La Poste Telecom. Like-for-like and at constant exchange rates, group sales increased by 0.9%. In the first quarter of 2025, the group COPA increased by EUR 43 million compared to the first quarter of 2024 and reached EUR 69 million. This increase was mainly led by Equans. The net result attributable to the group was minus EUR 156 million. This amount is not comparable to that of the first quarter of 2024 as it includes an exceptional income tax surcharge for large companies in France of EUR 33 million. Excluding this surcharge, on a comparable basis, the net result attributable to the group was up EUR 23 million at minus EUR 123 million. Last, net debt was EUR 7.1 billion, an improvement of EUR 645 million year-on-year. This is a good performance, even very good if we consider the amount of net acquisition made over the year, mainly including Bouygues Telecom's acquisition of La Poste Telecom for almost EUR 1 billion. This is a theoretical vision, of course. But without these acquisitions, our net debt would have improved by more than EUR 1.8 billion year-on-year. Net debt at end March is always higher than at end December of the previous year due to the seasonality of our activities. This year, the increase in net debt at end March compared to the level of EUR 6.1 billion at end December 2024, was, however, more limited than 1 year ago. I will provide you more details about these figures later during this call. Let's now turn to the review of our operations on Slide 8. Let's begin with the backlog in the construction businesses. As I mentioned during the introduction of this call, the backlog at end March 2025 was at a new record level of EUR 34.2 billion, up 12% year-on-year. This strong year-on-year growth in the backlog was driven by both Bouygues Construction and Colas. Please note that all geographies represented on the chart, namely France, Europe, excluding France and international, excluding Europe, contributed to the growth. Looking into details on Slide 9. Let's start with Colas backlog, which was up EUR 1.3 billion year-on-year at EUR 15.1 billion, with rail backlog up 18% year-on-year. In roads, the backlog was up 5% year-on-year, of which French and international backlogs were respectively up 5% and up 6% year-on-year. At end March 2025, the backlog to be executed in the current year and the next year were both at a higher level year-on-year, providing good visibility on our future activity. In Q1 2025, order intake at Colas stood at EUR 4.1 billion. In roads, order intake was up year-on-year with a strong increase internationally and a slight decrease in France. In rail, new major contracts were awarded, notably in the U.K. in order to operate and maintain the on-track machines, use of track maintenance across Britain during 8 years, the contract was around EUR 380 million. In Morocco, in order to develop the Kenitra-Marrakech high-speed line, a contract worth around EUR 250 million, to which is also added a contract for the related civil engineering. Moving to Slide 10. At Bouygues Construction, the backlog stood at EUR 18.3 billion, up EUR 2.6 billion year-on-year, mainly driven by civil works with the exceptional contract won for the Torrens to Darlington project in Australia in the third quarter of 2024. In building, the French backlog was up 7%, and the international backlog was down 3%. To be noted that the backlog to be executed in the current year and the next year were both at a higher level year-on-year, providing good visibility on future activity. The order intake in Q1 2025 stood at EUR 2.3 billion an amount largely driven by the normal course business, which means for Bouygues Construction, the contracts worth less than EUR 100 million. New major contracts were awarded in Q1, for example, for the building of the Mother and Child unit at Rennes Teaching Hospital in France. The contract worth around EUR 100 million or for the building of the college campus Cardiff and Vale in the U.K., the contract was around EUR 140 million. For data center in France, a contract worth around EUR 110 million of modernization of airports in Cyprus was around EUR 120 million. The diversity of these new contracts highlights the know-how of Bouygues Construction in specific business lines such as health care, infrastructure, academic buildings, airport facilities or data centers. Finally, at Bouygues Immobilier, the backlog was at EUR 0.9 billion at end March 2025, low level, reflecting the still changing market environment. Let's have a look at sales on Slide 11. The construction businesses recovered the results, which, like every year due to seasonality, are not indicative of the first half on the full year results. Sales were up 3% year-on-year and 2% like-for-like at constant exchange rate. First, at Colas, sales were up 3% year-on-year at EUR 2.7 billion, driven by rail, up 12%, reflecting the momentum in relation to demand for soft mobility infrastructure. Roads were up 2%, with France up 2%, EMEA up 6%, Asia Pacific strongly up 29% and North America down 9%. Second, Bouygues Construction sales were up 3% year-on-year at EUR 2.5 billion, driven by international building up 13% while civil works were slightly up, and France building was slightly down. Last, at Bouygues Immobilier, sales were up also 3% year-on-year at EUR 0.3 billion with residential property up 4% and commercial property remaining at a very low level, reflecting the market situation. Next slide, current operating results from activities of the construction businesses was minus EUR 240 million, improving EUR 24 million compared to Q1 2024, driven by Bouygues construction on the lower loss at Bouygues Immobilier level in relation to an adjustment of structure costs implemented in 2024. Please note that in Q1 2024, Bouygues Immobilier has also reviewed some operations and booked some provisions. COPA at Bouygues Construction was up compared to Q1 2024 with 0.4 points COPA margin improvement. As usual, Colas had a nonrepresentative minus EUR 305 million current operating results from activities, an amount very comparable to Q1 2024 figure. Let's now turn to the review of operations for Equans on Slide 14. Equans continues to deliver significantly improved results in line with its road map. Equans backlog was up 1% year-on-year at EUR 26.4 billion at end March 2025. The order intake in the first 3 months of 2025 stood at EUR 5.2 billion with still a gradual improvement in the order intake margin, highlighting notably positive impact of the pricing level of the performed plan. Sales were globally stable year-on-year in Q1 2025, reflecting both the continued selective approach for the contract strategy, overall positive market trends and some wait-and-see stance in the short term in a few activities in France and Europe. France sales were down 3% year-on-year and international sales were up 2% year-on-year despite the ongoing exit from the new business in the U.K. that we mentioned in the previous publications. Equans contribution to the group COPA represented EUR 177 million with a 3.8% COPA margin, up 0.9 points year-on-year. This is a very good start to the year. To end with Equans on Slide 15, let me just add that in 2025, Equans will continue to roll out its strategic plan and strategy. Continued organic growth at a lower pace than in 2024 due to some wait-and-see stance in the short term and a few activities in France and Europe, as previously mentioned. Margin from activities close to 4%, possibly slightly higher. And a cash conversion rate before working capital requirement of between 80% and 100%. As a reminder, Equans aims to gradually catch up with the organic growth of sector peers and to achieve a margin from activities of 5% in 2027. I now give the floor to Christian Lecoq, for a detailed presentation of Bouygues Telecom.
Christian Lecoq: Thank you, Pascal, and good morning, everyone. Turning to Slide 17. Let's start with a few comments on Bouygues Telecom growth strategy in fixed with transactions undertaken during the first quarter. First, convinced that our customers deserve the best of technology, Bouygues Telecom has been the first operator to discontinue the marketing of ADSL and Wi-Fi 5 in France in the first quarter of 2025 and to enhance its B&YOU Pure Fiber offer in Wi-Fi 7, a unique proposal in the market. Second, committed to ensure customer satisfaction through transparency and quality of service. Bouygues Telecom is the first operator in Europe to publish performance metrics and technical support on a daily basis, with, for example, over 90% of technical support calls being answered in less than 1 minute and over 80% of appointments to resolve incidents scheduled within 24 hours. Last, I would like to remind you that according to Arcep, Bouygues Telecom is the operator with the lowest Fixed complaint rate in France for 5 successive years in a row. On Slide 18, our commercial performance has remained this quarter solid in Fixed, both in volume and value, with a favorable momentum observed for B.iG and B&YOU pure fiber offers. As you can see on the left side of the slide, we had a total 5.2 million Fixed customers at end March 2025. This represents an increase of 69,000 customers in Q1. FTTH continued to experience strong growth with 148,000 new customers during the first quarter with a total of 4.3 million customers. FTTH customers represented 83% of our Fixed customer base, up from 75%, 1 year ago. This is a result of a wider FTTH footprint combined with the excellent quality of our network and services. The momentum remains good on value with Fixed ABPU up EUR 0.7 year-on-year at EUR 33.2 per client and per month. Commercial performance in mobile was also solid, as you can see on Slide 19, and the initial results from B.iG offers are satisfactory, both in terms of acquisitions and churn. At end March 2025, Bouygues Telecom has 18.3 million mobile plan customers, excluding MtoM, thanks to 63,000 new customers in Q1. As of this quarter, we present the mobile ABPU, including La Poste Telecom, as shown on the right side of the slide, at EUR 17.5 per client and per month. In the still competitive market on the low-end segment with low prices for new customers, mobile ABPU excluding La Poste Telecom was at EUR 18.6 per client and per month. Let's have a look at the key figures on Slide 20. First, we achieved 6% growth in sales billed to customers year-on-year. They were up 1%, excluding La Poste Telecom and driven by Fixed. Total sales were up 5% year-on-year, on which 2% growth in other sales. EBITDA after leases decreased by EUR 14 million compared to Q1 2024 and reached EUR 415 million. This change is explained by growth in sales billed to customers and outgoing efforts to control costs. Second, the higher IFER tax on mobile sites. And third, higher energy costs due to the end of very favorable hedging conditions. The current operating profit from activities was down EUR 29 million at EUR 101 million, reflecting the decrease in EBITDA after leases associated with the increase in G&A in line with our CapEx trajectory. Last, you can notice that gross CapEx was EUR 394 million in Q1 2025, and that investment reached EUR 38 million with the disposal of some data centers. Moving to Slide 21. Bouygues Telecom's 2025 targets are a slight increase in sales billed to customers versus 2025 -- 2024 like-for-like, excluding La Poste Telecom to which is added to contribution for La Poste Telecom. A broadly stable EBITDA after lease compared to 2024. And in 2025, Bouygues Telecom will no longer benefit from the very probable low hedged energy prices launched in 2020 and 2021. I remind you that La Poste Telecom's contribution to EBITDA after leases will be limited in 2025 with the full effect expected from 2028. And last, gross capital expenditure of around EUR 1.5 billion, excluding frequencies, including expenditure related to the preparation for the migration of La Poste Telecom mobile customers. And now, Pascal, I'm giving you back the floor.
Pascal Grange: Thank you, Christian. Turning to Slide 23. Let's talk briefly about TF1's results, which were released on the success of April. First, the TF1 group maintained its audience leadership in the first quarter of 2025. The total audience share among women under 50 who are purchasing decision-makers was at 33% and the total audience share among individuals aged from 25 to 49 -- aged from 25 to 49, sorry, was at 30.1%. In the first quarter of 2025, total sales were up 2% year-on-year. Media sales increased 2% year-on-year with stable advertising revenues and the continued strong growth momentum for TF1+, up 37% year-on-year. Studio TF1, the new name of Newen Studios, posted stable revenues year-on-year, including a EUR 9 million contribution from JPG and less significant production deliveries during the quarter COPA amounted to EUR 43 million, up EUR 6 million year-on-year. And COPA margin was 8.3% in Q1 2025 versus 7.3% in Q1 2024. The programming costs remained in the first quarter of 2025, similar to the level of the first quarter 2024 at EUR 221 million with premium programming maintained for both linear and streaming. Turning to Slide 24. I will end on TF1 group by saying that in the advertising market with a very limited visibility, TF1 group's objectives for 2025 are a strong double-digit revenue growth in digital, a broadly stable margin from activities compared to 2024 and on the dividend side, aiming for a growing dividend policy in the coming years. I will now turn our attention on the financial statements on Slide 26, starting with the P&L. We have already discussed first quarter sales and current operating profit from activities at the beginning of this call. Let me add a few comments this morning. First point, PPA was minus EUR 29 million, an amount slightly higher than in first quarter 2024 in relation to the acquisition of JPG with TF1 and La Poste Telecom with Bouygues Telecom. Second point, other operating income and expenses, which do not reflect operational activity were negative at EUR 19 million in the first quarter. This amount is largely linked to noncurrent charges in relation to the Equans management incentive plan, which represented EUR 25 million, and to a lesser extent, to noncurrent income at Bouygues Telecom for EUR 9 million. Third point, financial results, which comprises cost of net debt, interest expenses on lease obligations and other financial income and expenses stood at minus EUR 97 million compared to minus EUR 74 million in Q1 2024. This change is mainly due to the impact of the La Poste Telecom acquisition and the decrease in the return on cash in relation to lower interest rates. This decrease being, however, mitigated by an increase of the average cash over the period. Fourth point. The tax charge was recorded from EUR 21 million in relation to higher operational results. This amount excludes the EUR 42 million of exceptional income tax surcharge for large companies in France. First point, the effect of the tax surcharge on the net result attributable to the group was EUR 33 million, leading to this result to reach minus EUR 156 million. Let's now turn to Slide 27 to describe the net debt evolution between end of December 2024 and end March 2025. As you see, net debt increased by around EUR 1 billion since the end of 2024. This negative change is usual and related to the seasonality of our activities. The good news is that the magnitude of the increase in the net debt is lower than that of last year, which was EUR 1.5 billion. This increase includes, first, acquisition net of disposals totaling minus EUR 84 million, including small acquisitions at Colas, investments in joint ventures at Bouygues Telecom and purchase of TF1 shares. Second, capital transactions and other for EUR 9 million, including exercise of stock options and the liquidity contract. And last, minus EUR 939 million from operations that I will comment in the next slide. Turning to the breakdown of operations for the first quarter of 2025 on Slide 28. You can observe that first, net cash flow, including lease expenses stood at EUR 421 million, an improvement of EUR 89 million compared to first quarter 2024. Second, net CapEx was EUR 500 million, a lower amount compared to first quarter 2024 and a decrease largely explained by lower net CapEx at Bouygues Telecom. And third, you can see on the chart that the change in working capital requirements model stood at minus EUR 860 million, a usual negative change for Q1 due to seasonality, though less negative compared to first quarter of 2024. I will now turn our attention to the financial -- group financial structure on Slide 29. The group maintained a very high level of liquidity at EUR 14.8 billion, which comprised EUR 3.8 billion in cash and equivalents and EUR 11 billion in undrawn medium- and long-term credit facilities. Net debt was EUR 7.1 billion at the end of March 2025, a strong improvement compared to end March 2024, even stronger if we take into account the amount of acquisitions over the year. As such, net gearing was 50% at end March 2025, an improvement compared to 55% at end March 2024. You can see from the chart on the right that the debt maturity schedule is well spread over that time. I remind you that our next bond redemption is in October 2026. Last, I would say the group benefits from a strong -- we would say that the group benefits from a particularly strong position and that our financial credit rating remained strong. I will now conclude this presentation on Slide 31 by saying that in a very uncertain global environment, we confirm the group outlook for 2025 that this target for 2025, a slight increase in sales and current operating profit from activities versus 2024. The effect of the French Finance law on the social security financing law for 2025 and the net profit attributable to the group are estimated to date at around EUR 100 million. Thank you for your attention. Operator, please open the floor for questions.
Operator: [Operator Instructions] Our first question comes from Mollie Witcombe, Goldman Sachs.
Mollie Witcombe: I have 2 questions, please. Firstly, I was wondering if you could give us a little bit of color around the telecoms market at the moment in Mobile and Fixed and any pricing pressure that you may or may not be seeing? And my second question is on Equans trends. Could you give us a little bit more context on how synergy extraction is going and margin improvement? Are you -- what kind of trends are you seeing in terms of order book margins and a little bit more detail on that would be fantastic.
Christian Lecoq: Thank you for your question. Let me answer the telecom question. So first, at the mobile market, we observed the mobile market that remains less dynamic than previous years with a small growth in Q1 concerning the low-end part of the mobile market. We observed sustainable competition on this growing segment during the first quarter, and we started an upward trend on tariffs, recession-free at the beginning of the quarter. But -- as the last player decided to not follow us. And so that's why this low end part of the market is still very competitive. On high end, I remind you that we have implemented a new marketing strategy in 2024 to enhance customer satisfaction and reduce our churn level. And we observed during this first quarter good results on our B.iG offer is good sales dynamic and already a decrease in churn. But this good result will give us an impact in turnover in some quarters -- sorry, in the medium term. Regarding the Fixed. The market is still good. We are taking market share and our DPU is still growing. We are delivering a profitable growth, thanks to the excellent quality of our networks and our boxes. So that's a very, very good position. I remind you that in the Fixed business, we are gaining market share in the rural areas because we were not in these areas in the past with DSL, and we are now taking market share in these rural areas with...
Pascal Grange: Concerning Equans, we have, as we mentioned many times, in fact, we have implemented at Equans level, the perform plan where there are different levers in order to improve the profitability of Equans, which are, for instance, is the pricing, how the pricing is made in the different contracts and how the purchasing is done. Obviously, we had some nonperformance business centers, which we are restructuring. And lastly, we have some profitability to reach in certain areas and for certain type of projects. And all these levers has been -- are gradually implemented in the whole perimeter of Equans. And this induce that first, we have a casual improvement in our margin backlog. But considering that this has to be very gradual because when you have a long-term relationship with the client, you can't improve your margin very rapidly. You have to be very gradual. And this is the reason why when we guided on what will be the future margin of Equans. We said that we had a path to go from the initial level, which was 2.3% to 5% in 2027. We consider that all things already implemented at Equans will improve gradually the margin. You will see that we are quite optimistic on the margin for 2025 as we have added that probably will be -- we said previously that we will -- our margin information should be close to 4%. And we have added that possibly, we will be slightly higher. So that's fairly good news. And we are on track to obtain what we guided and we considered. We are quite positive on that.
Mollie Witcombe : Can I just follow up, sorry, on the second question on Equans. Can I just check that the guidance that you've given, you're not seeing any impact in terms of tariffs that might change your level of confidence for achieving those margins?
Pascal Grange: No. In fact, it's not the impact of tariffs because we're producing a lot of things locally. So in the U.S., we were quite local. So the question is more, what is the global economic environment and how confident are the economic factors and industrial than a direct effect on our P&L.
Operator: The next question comes from the line of Carlos Caburrasi from Kepler Cheuvreux.
Carlos Caburrasi: I have a quick one also on Equans. As you said you're slightly improving your 2025 outlook to possibly slightly higher than 4%. Do you believe that we could see another outlook improvement in the following quarters? And considering that you haven't updated your 2027 view, do you see any upside for that target as well?
Pascal Grange: We prefer to remain very prudent when we change our guidance. We are not in a situation where we intend to change our guidance until now. We are improving gradually our margin. We know that our -- that there is room for improvement due to the different levers I mentioned previously. We consider very favorably how the market will evolve because we see that our peers are performing very well, too. So we will consider that in the medium, long term, we will reach levels, which will be comparable to our peers. But the customer relationship is very important in this business and going too fast could be a real problem. So we prefer to remain very gradual.
Operator: The next question comes from the line of Rohit Modi from Citi.
Rohit Modi: A couple from my side. Firstly, a follow-up from Mollie's question around the tariff impact. I believe you mentioned that there is no impact on the Equans. Are you able to confirm if there is no impact on the construction side of business, given there is some equipment that you still source, I believe, from Europe. So just a bit of comment on that. Second question on telecom margins, EBITDA margins, particularly if you can confirm, excluding the impact of energy tax and La Poste, if the margins were stable or growing or declining? Any color on that would be really, really helpful. And lastly, apologies for bringing this topic again, but we have seen a lot of news in the past few months around trends consolidation and Bouygues being involved. If you can give any comment around that, that would be really, really helpful.
Pascal Grange: Considering your first question about equipment, we could import, in fact, from -- in the U.S. It's a second range issue for us. We are globally local where we work in the construction activities and the Equans activities. The main subject is really the global economic environment. And this is the reason why we have mentioned that we consider the environment as very uncertain in reality. There, we read the German newspapers and we have some news from the U.S. So it's obviously something which is very important for our activities. We need obviously confidence. The second subject is for Christian Lecoq.
Christian Lecoq: Yes. So regarding the EBITDA margin, yes, the impact of energy cost for this quarter is around EUR 20 million. The impact of deferred tax is around a bit less than EUR 10 million, EUR 9 million exactly. Regarding the margin, I remind you 2 things. First, La Poste Telecom is -- will have a dilutive impact until the end of the migration of the mobile finance Bouygues Telecom sector, we are still paying wholesale cost to [ SF ] in 2025, first point. Second point, the fact that our turnover growth is coming from the fixed business has also a dilutive impact because in the Fixed business, we went the network. We do not own the network, the fixed network. And so the EBITDA margin in the Fixed is lower than the EBITDA margin to mobile. So 2 reasons, excluding energy and the deferred tax, first, La Poste Telecom, and second, growth in the Fixed business.
Pascal Grange: As far as the consolidation is concerned, in fact, we read the newspapers as you do certainly. And we have seen that probably the debt restructuring of Altice is on track, and this is an event which is very important to our Altice but it doesn't change anything for us. The consolidation in this context, we have seen a lot of things about -- we have read a lot of things about the consolidation. I remind you that lot of attempts have been done in the past in this respect. This is a very complex issue and regulatory issues, competition issues, commercial issues, nothing substantial to say at that stage.
Operator: [Operator Instructions] The next question comes from the line of Eric Ravary from CIC.
Eric Ravary: Three questions from my side. First one is on Equans. So you mentioned some market segments slowing down in Q1. Could you be a bit more specific? And what are the trends that you see for these segments for the rest of the year? On Colas, we've seen a fall of the oil prices over the last months. So are you observing also a fall in the betterment prices? And could it have a temporary positive impact on the Colas margin into the next quarters? And last question is on Bouygues Telecom. So Christian, you mentioned that the Fixed ABPU is still growing, but the growth rate slowdown in Q1 compared with 2024 at plus 2%. Shall we expect for the rest of the year, the growth rate of the ABPU to continue to slow down with the new pricing that you introduced?
Pascal Grange: I will start with the quarter. Considering Equans, we can give 2 examples, for instance, for considering the wait and see mode I mentioned previously. The first one is, for instance, the gigafactories for batteries where you have seen that probably, we are sure that the vehicles will be electric in a few years. But the pace of growth of this market is lower than expected, and this induces some difficulties in -- for certain actors of that market, for instance, the Northvolt issue. Second example is probably data centers. The pipe is just fantastic. But we are in a period where actors are slowing a bit their decision because first, there is the tariff issue and the U.S. policy. And you saw policy in the U.S., which could modify where they have to invest, but they haven't yet decided. And secondly, you know that in terms of technology we have, new technology is now very promising, which is the liquid cooling technology and a lot of factors are reflected. I have to decide if they maintain their original project or they move to this new technology of liquid cooling. So for all these reasons, we are very confident on how the market will evolute in the future. But we have -- we see in our turnover during the first quarter that there is a wait-and-see situation. Concerning Colas, we have learned a lot of inflation in 2022. And we have negotiated in our contracts in order to be protected against the evolution of bitumen. But that's the good news. We are protected. But consequences, the consequence is that when the bitumen decrease, this decrease our cost, but this decreased also our turnover. That said, we have at Colas level plan in order to improve margin. And you have seen that during the past years, year after year, we are improving our margin, and we are not at the end of this story. So we are on track on that plan.
Christian Lecoq: So on Fixed ABPU, yes, we have observed already a strong growth in our Fixed ABPU over the past 2 years, catch up with the market. So today, 3 points to have in mind. First, like in mobile, we started to reprice our clients in mobile and also in the Fixed business. And so of course, the growth on Fixed ABPU will be lower in the next coming years. Second point to have in mind, we are working to increase our ABPU. For example, the fact that we're following our decision to seize the commercialization of DSL and Wi-Fi 5, we have adopted our Fixed offer to incorporate new technologies, and we have increased our prices. And for example also, we offer to our clients to move from our Wi-Fi 5 box to Wi-Fi 7 box, for example, by paying EUR 3 more. So positive impact -- we could have a positive impact from that. Last point, you know that we launched our B&YOU pure fiber offer at the end of 2024. This offer is not cannibalizing our existing clients, neither the acquisition of the quarter. And thanks to that, we have a good momentum in volume. But at the same time, as the B&YOU pure fiber tariffs are lower than the normal tariffs, I would say, it could have a small impact on our Fixed ABPU in the next quarter. So to conclude on that, I will say that our fixed ABPU will continue to grow in 2025, but you're right to say that it should be at a slower pace than in previous years.
Operator: Our next question comes from the line of Nicolas Cote-Colisson from HSBC.
Nicolas Cote-Colisson: I've got a few questions. Just one, just a follow-up from Christian's answer on the ABPU in Fixed. So would you say that now, we are down to close to 2% growth is mainly driven by topping repricing clients for this quarter? I hear what you say for the coming quarters, but I was more interested for Q1. So is it the lack of pricing this quarter that leads to a slowdown in growth? And back to your comments on the macro environment, both at Equans or looking at the backlog in the construction on the international side of things. Do you think it's more an issue of clients not taking decisions right now? Or are you also seeing some pricing pressure leading to adopt a more selective approach from your side? And my very last question, housekeeping, just on the working cap, I'm not trying to read too much into the number in Q1. But just to check on equals, there's a big swing for Q1. It's a positive number when usually, we have effect negative number for Q1. So is there anything that has changed there? Or we should just shrug and ignore it?
Christian Lecoq: So first on the Fixed ABPU, yes, Nicolas. Usually, when we did reprice in the past, it was in Q1. So we didn't do that this year. And so yes, this has a negative impact. Probably maybe one other point. If you look at Q1 ABPU compared to Q4 2024 ABPU, you will see that the ABPU is down EUR 0.2 compared to the last quarter, Q4 2024. It was mainly due to a drop in nonrecurring elements in Q1 compared to Q4. We had a high level of new customers in Q4, and so we had some activation fees, more activation fees that we have taken in our ABPU in Q4, more activation fees in Q4 than Q1. This is the impact, the main impact, if you look at the difference of -- on Fixed ABPU Q1 compared to Q4. Regarding the next quarter. I don't know what will be the trend. It will depend on the results of our B&YOU pure fiber offer.
Pascal Grange: If we consider your question regarding Equans. The first question, obviously, when you are being selective, have an impact on our margin. You know that, for instance, we have decided to withdraw from the market, the new build in the U.K. So it's -- because we consider that the margin was not -- it was not possible to have the good margin in that sector. Having said that, obviously, we have a double impact, which is we try to improve margin. But you know that different factors in the market are aiming for margin to turn at a level which is comparable or higher than the one we have to date. So we have not -- we have always pressure of our customers on pricing. But as we have a lot of competencies and the kind of scarcity in resources in that market, we are quite confident that we continue to improve our margins. If we -- concerning the working capital, you knew perfectly when we bought Equans, I would say that we said that, I don't know if everyone had believed us when we were saying that, we had room for improvement in working capital at the Equans level. And we implement the policy gradually in order to improve that, and there is no specific issue on the first quarter, explaining that the working capital improved this quarter compared to Q1 2024. Having saying that, you have to know that it's quite difficult to modelize working capital requirements for construction activities. But in the same way, it's quite difficult to do so at the Equans level. So a lot of pressure is put on that subject at all levels of organization in Equans, same in other entities of the group by the way.
Nicolas Cote-Colisson : Okay. Very clear. And if I may just ask a follow-up. On the lower backlog in construction on the international side of things, is there any region that is driving this? Or is it more a general effect?
Pascal Grange: No, order intake for building activities, you mean?
Nicolas Cote-Colisson : Yes.
Pascal Grange: No, our building activities is mainly realized with a big project. So order intake of 1 quarter for our construction activities makes simply no sense. We have to consider the backlog, which is very good, which secures the next year and the year after. I mean we have projects in the pipe. So we are not anxious at all on that subject. But as a matter of fact, when you have an important order intake 1 quarter, for instance, third quarter in 2024, it's not the reason to have the same level of order intake 1 year after. And a quarter is a very short period for these kind of activities.
Nicolas Cote-Colisson: I'm sorry, maybe you misunderstood. It was more on the backlog -- for the backlog for international building, but I hear what you're saying.
Pascal Grange: Sorry, I have not understood your question. Sorry.
Nicolas Cote-Colisson : No, no, no. I was more referring to the backlog for international building to minus 3%. I get your answer.
Pascal Grange: It's not significant at this stage. Activities for next year or this year or next year is well secured. So we are not anxious at all that movement. Sorry, it could go up next quarter or not, but no anxiety at all for next year and a year after to -- in terms of building.
Operator: The next question comes from of Nicolas Mora from Morgan Stanley.
Nicolas Mora: Just a couple of follow-ups for me. Just on Equans, in the release, it seems you are into a slightly better performance at the revenue level to the next few quarters? I was just wondering what would give you that kind of confidence, especially taking into account the bit of the wait and see from customers. And especially in France, we see, so Q1 is down 3, some of your peers, but not all of them were so down. It seems their outlook is relatively challenging. That's the first one. And then on Equans on international. So you're still growing in Q1. Where are you growing? Which geographies? Just if you could shed a little bit of color. Third one, on Colas. What are you seeing in France? So the order intake is slowing a little bit, but you had good momentum in '24. Are you still seeing good activity ahead of the municipal election and the U.S. where you had on the flip side, a very poor order in '24 and the revenues are still under pressure? Is there a silver lining there? Last point on Colas steel. Rail continues to grow 3, 4x the road business. Is there a margin mix impact there? Or obviously, you do the same margin in rail and road, and we should not care too much about this? That would be it.
Pascal Grange: Okay. Starting with your last question about Colas. Firstly, no. In fact, our margin in road construction and construction on rail are quite equivalent. So no mix impact to anticipate at this stage. I could add that the generally speaking, in average, our rail contracts are bigger and longer than our broader activity than contracts in our growth activity. So when we increase our backlog, the execution of these contracts will be executed during periods will be far longer, which is a good news because it -- we have to sign the contract and that we have also to realize it and the increase in activity will be lower than the increase in the backlog on the short term. That's the first question. The second question is concerning Colas, is about U.S. Effectively, we have seen an important improvement of the backlog of the U.S. activities and so we are now quite optimistic on the activity in the U.S. The third question related to Colas was the order intake in France, there is good news. We know that probably after the -- when there is a cycle for activities in France and before the local election, we have an increase in the activity. We have this improvement. And the good news is the fact that we are now not too far from this election. I think March 2026, and the backlog remains quite good. Probably we will have a decrease, a slowdown after. But we don't see that at the moment. So that's a fairly good news. I think I have answered all your questions about Colas. I will move to Equans. How will be the growth? Obviously, we have a 0% growth during the first quarter, which is the effect of our selectivity. We have decided to be selective. And added to that, we have a wait and see mode, I explained previously. This is the reason why we have mentioned that probably, the pace will be lower than the one we have in 2024. Perhaps we have a lot of things in the pipe. Effectively, we don't know precisely when the wait and see mode will change. We will see. The trends are good in all these activities. What it will be in 2025, we will see quarter after quarter.
Operator: There are no further questions so I hand you back to Pascal Grange for closing remarks.
Pascal Grange: Thank you for your questions and for joining us today. We will be announcing our full year 2025 results on 31st of July 2025. Should you have any questions, please contact our Investor Relations team. Their contact information is on the press release on our website. Thank you very much.
Operator: Thank you for joining today's call. You may now disconnect your lines. Hosts, please stay on the line and wait for the instructions.